Operator: Good afternoon. My name is Robert, and I'll be your conference facilitator today. At this time, I'd like to welcome everyone to Manhattan Associates Fourth Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer period. [Operator Instructions] As a reminder, ladies and gentlemen, this call is being recorded today, February 2. I would now like to introduce your host, Mr. Michael Bauer, Head of Investor Relations of Manhattan Associates. Mr. Bauer, you may begin your conference.
Michael Bauer: Thank you, Rob, and good afternoon, everyone. Welcome to Manhattan Associates 2022 fourth quarter earnings call. I will review our cautionary language and then turn the call over to Eddie Capel, our CEO. During this call, including the question-and-answer session, we may make forward-looking statements regarding future events or the future financial performance of Manhattan Associates. You are cautioned that these forward-looking statements involve risks and uncertainties, are not guarantees of future performance and that actual results may differ materially from the projections contained in our forward-looking statements. I refer you to the reports Manhattan Associates files with the SEC for important factors that could cause actual results to differ materially from those in our projections, particularly our Annual Report on Form 10-K for fiscal year 2021 and the risk factor discussion in that report as well as any risk factor updates we provide in our subsequent Form 10-Qs. We note, in particular, the turbulent global macro environment could impact our performance and cause actual results to differ materially from our projections. We are under no obligation to update these statements. In addition, our comments include certain non-GAAP financial measures in an effort to provide additional information to investors. We have reconciled all non-GAAP measures to the related GAAP measures in accordance with SEC rules. You'll find reconciliation schedules in the Form 8-K we submitted to the SEC earlier today and on our website at manh.com. Now I'll turn the call over to Ed.
Eddie Capel: Okay. Thanks, Mike. Well, good afternoon, everyone, and thank you for joining us as we review our fourth quarter and full-year 2022 results, as well as our outlook for 2023. So 2022 is a remarkable year for Manhattan, setting all-time records in total revenue, RPO, operating profit, cash collections and earnings per share. And to drive future growth and innovation, we also invested record amounts in our people and in R&D. In 2022, we spent over $110 million on research and development, which is up 15% from the previous year. We also increased our total headcount by 16% in response to the high demand for our solutions and services. We are confident that these investments will contribute to our already high levels of customer satisfaction and extend our position as the leading innovator in core supply chain execution, omnichannel solutions and retail point-of-sale commerce. And given the size of our opportunity and the long-term favorable business momentum, we plan to continue the investments, including hiring between 400 and 600 new associates in 2023, which we are guiding to be our fourth record revenue year since introducing our goal to become a cloud-first company five years ago. Now while we remain appropriately cautious regarding the global economy, demand for our solutions remains robust, and we are optimistic about our long-term market opportunity. Now recall our solutions are mission-critical and they are key components to our customers' success. And additionally, we are entering 2023 with pretty good visibility in several growth drivers, including, the acquisition of new customers; the conversion of our on-premise customers to the cloud; and cross-selling our unified product portfolio into our customer base. Now specifically pivoting to our quarterly results, Q4 was a record quarter that exceeded our expectations. Revenue increased 16% as a reported $198 million and highlighted by 49% growth in cloud, 22% growth in services and double-digit revenue growth across all of our geographies. And these strong results drove our topline outperformance and solid earnings leverage in the quarter with adjusted earnings per diluted share increasing 69% to $0.81. Now RPO, the leading indicator of that growth, increased 50% to $1.1 billion at the end of 2022. And importantly, customer satisfaction levels are high. Win rates remain at 75% plus, and demand for our cloud solutions continues to be pretty solid across our product portfolio. From a vertical perspective, retail, manufacturing and wholesale continue to drive more than 80% of our bookings in the quarter. And across our solutions, the sub-verticals are pretty diverse. For example in the quarter, cloud deals won include a global cosmetics manufacturer, a grocery retailer, a diversified automotive company, a manufacturer of home goods, a food wholesaler and an e-commerce retailer as well as numerous others. And this contributed to a healthy mix of bookings across sub-verticals for the full-year. And additionally, aided by the clear benefit of resilient modern supply chains, over 40% of our bookings were generated from new logos and over 30% from cross-sell opportunities in 2022. Importantly, that pipeline continues to be strong with solid demand across our product suites. Net new potential customers represent about 35% of that demand. And as of year-end, we had converted less than 10% of our on-premise customers to the cloud. Now turning to the product front. We are coming off of a very exciting National Retail Federation Conference in New York. Customers and prospects were back in force this year, and we have some exciting product innovations to share with them. Those include the work we are doing around fully enabling RFID with our Manhattan Active store solution. We've added native support for RFID directly into checkouts and returns, inventory management and store fulfillment functions so that retailers can make more accurate promises, increased conversion rates and maximize inventory exposure for selling. The value of RFID in stores has proven to be quite significant as the digital experience becomes an integral part of bricks-and-mortar shopping. It's vital that our customers know how much of a particular product that they have and where each specific unit is located inside of their store. And what's more, RFID allows our customers to deliver these improved experiences and to do it with significantly less labor. Now speaking of our store technology, we just finished a very successful retail peak season, and specifically with our point-of-sale application. A number of our customers are showing very positive results from the rollout of our Omnicart capabilities. That's the ability to sell items from alternate locations in a single transaction. And only a unified commerce solution with a built-in point-of-sale and order management capabilities can deliver a seamless Omnicart process. Now regarding implementations, we are seeing some really very positive operational results tied to the first wave of deployments of Manhattan Active Warehouse Management. And I thought I'd share a couple of anecdotes on the positive operational impact from the deployments of our cloud-native WMS. Now I've spoken before about employee engagement, one of the WMS features, which is unique to our application. And one of our early adopter Manhattan Active WM customers who now activated all the features of employee engagement, including enabling their associates to complete in gamified challenges and accumulate points. And these points are redeemable for a variety of tangible items in a digital incentive store. And the result for this customer is an incremental 5% productivity improvement in the DC on top of their traditional engineered labor standards and incentive program. And staying on productivity enhancements for a moment, one of our high-volume apparel customers in Brazil is showing a double-digit throughput increase in their distribution center after implementing Manhattan Active WM. Even though the facility was already outfitted with pretty extensive automation, the workflow optimization inside of Manhattan Active WM is helping them extract record levels of productivity from their material handling automation. Now even in a less automated DC, Manhattan Active WM really shines there, too. One of our large wholesale drug customers is reporting a picking productivity improvement in excess of 30%, and this improvement is attributable to the latest pick path optimization algorithms native to Manhattan Active WM. Now before I hand off to Dennis, I want to take this opportunity to briefly recognize and thank each and every member of the Manhattan global team. And Manhattan is committed to creating an inclusive culture where our team members can advance their careers, contribute to our company-wide goals, feel valued and engaged with the communities in which they live and work. And in 2022, they clearly went above and beyond to deliver a remarkable year with remarkable results for our valued customers. And I'm confident in the future success of this company largely because of this team. So that includes – or concludes my business update. Dennis is going to provide you with an update of our financial performance and outlook. And then I'll close our prepared remarks with a brief summary before we move to Q&A. So Dennis?
Dennis Story: Thanks, Eddie. As Eddie highlighted in 2022, we set all-time records in RPO, total revenue, operating profit, cash collections and earnings per share. Congratulations to our team members around the globe for great execution. Overall, for the quarter and the year, we delivered a strong balanced financial performance on topline growth and operating margin, with both results comparing favorably to the Rule of 40 and if our revenue growth is normalized for our cloud transition, excluding license and maintenance attrition, both results exceed the Rule of 50. We continue to deliver strong metrics across revenue growth, profitability and cash flow. I'll start with recapping our financial performance for the quarter and year. All growth rates are on a year-over-year basis unless otherwise stated. Additionally, we are also providing constant currency growth to demonstrate apples-to-apples comparisons. Unless otherwise stated, constant currency will compare results as if rates were unchanged from the year ago period. Q4 total revenue was $198 million, up 16% as reported and 19% excluding FX. Full-year revenue totaled $767 million, also up 16% and 18% removing FX. Excluding license and maintenance revenue, which removes the revenue compression by our cloud transition, Q4 revenue growth was 29% and full-year 25%. Q4 cloud revenue totaled $52 million, up 49%, with full-year revenue totaling $176 million, up 44%. We closed out 2022 with RPO of $1.1 billion on the round, growing 50%. This was at the high end of our guidance. If FX rates remain unchanged from the year ago period, RPO growth would be 54%. And if rates remained unchanged from September 30 levels, sequential RPO growth would be 6%. As of December 31, over 97% of our RPO represents true cloud-native subscriptions. Q4 services revenue increased 22% to $100 million, and full-year services revenue increased 18% to $394 million. Both were records as cloud sales continue to fuel services growth globally. Shifting to earnings leverage. Our Q4 adjusted operating income totaled $60 million with an operating margin of 30.2%. The 740 basis point increase was driven by revenue growth. Full-year adjusted operating margin was 27.6%, up 80 basis points on revenue growth. Our Q4 GAAP operating income was $45 million with a 22.6% operating margin, with full-year GAAP operating income totaling $153 million with a 20% operating margin. Our Q4 earnings per share increased 69% to $0.81. Note, our EPS includes $0.05 of tax benefit associated with expiring tax statutes, lowering our effective tax rate in the quarter to 16%. This resulted in full-year EPS of $2.76, which was up 24%, exceeding guidance. Q4 operating cash flow increased 38% to $55 million as Q4 adjusted EBITDA margin was 31% and free cash flow margin was 26.6%. Our full-year operating cash flow was $180 million. Adjusted EBITDA margin was 28.5% and free cash flow margin was 22.6%. Remember, these figures include $58 million in cash taxes paid, which is roughly doubling the amount of cash taxes paid over last year. For more information on the $26 million incremental cash taxes paid associated with the U.S. Tax Cuts and Jobs Act, please refer to Item 8 in our earnings supplemental information schedules. Turning to the balance sheet, deferred revenue increased 36% year-over-year and 23% sequentially to $209 million. We closed 2022 with $225 million in cash and zero debt. For the year, we invested $175 million in share buybacks, including $25 million in Q4. Also, our Board has approved the replenishment of our $75 million share repurchase authority. Now moving to guidance. As consistently mentioned, our financial objective is to deliver sustainable double-digit topline growth and top quartile operating margins benchmarked against enterprise SaaS comps. As Eddie mentioned, we will continue to invest with a balanced approach to growth and profitability. We are raising the midpoint of the preliminary 2023 revenue, operating margin and EPS guidance that we provided last quarter. We are also reiterating our 2023 RPO guidepost midpoint of $1.35 billion. Consistent with our recent earnings releases, our guidepost can be found in today's earnings release, supplemental schedules. As noted on prior earnings calls, we will be updating our RPO outlook on an annual basis. Additionally, as previously discussed, our bookings performance is impacted by the number and relative value of large deals we close in any quarter, which can potentially cause lumpiness or nonlinear bookings throughout the year. For full-year 2023, we expect total revenue of $820 million to $833 million with an $826.5 million midpoint, up from our prior midpoint of $810 million. Excluding license and maintenance attrition, this represents 16% growth. All in, our target is 8%. First half and second half total revenue splits are expected to be about 50-50. For Q1, we expect total revenue of $198 million to $202 million, which at the midpoint represents 21% growth, ex license and maintenance attrition and 12% growth all in. We continue to track ahead of our original margin expectations. And reflective of our higher revenue outlook, we are increasing our 2023 adjusted operating margin range to 25.5% to 26.5%, with a midpoint of 26%, up from our prior guidance of 25.5%. Included in this range is a 260 basis point headwind from the $35 million reduction in maintenance and license revenue from our transition to cloud. At the midpoint, operating margin on a quarterly basis is expected to be roughly: For Q1, 26%; Q2, 26.8%; Q3, 27%; and accounting for retail peak seasonality, 24.3% in Q4. Those are pretty exact targets. This results in a full-year adjusted EPS range of $2.61 to $2.75. The $2.68 midpoint, up from our prior $2.55 midpoint outlook for GAAP EPS, our guidance range is $1.81 to $1.95. Note, if the 2022 below-the-line income taxes and other income were normalized at 2022 levels, 2023 adjusted EPS would be $0.13 higher and GAAP EPS would be $0.14 higher. For Q1, we expect adjusted EPS of $0.64 to $0.66 and GAAP EPS of $0.46 to $0.48. For Q2 through Q4, we expect GAAP EPS to be about $0.20 lower than adjusted EPS per quarter, which accounts for our investment in equity-based compensation. Here are some additional details on our 2023 outlook. For full-year 2023, we are increasing our cloud revenue range to $232 million to $236 million, representing 33% growth at the midpoint and assumes $53.8 million in Q1 with about a $3 million sequential increase per quarter throughout the year. For services revenue, we are increasing our forecast of $428 million to $437 million, representing 10% growth at the midpoint. On a quarterly basis, we expect Q1 services revenue of roughly $103 million; Q2, $111 million; Q3, $114 million; and accounting for retail peak seasonality, $106 million in Q4. On attrition to cloud, we expect maintenance and license to represent about an 8-point headwind in total revenue growth in 2023. For maintenance, we expect a range of $122 million to $124 million, or a 14% decline at the midpoint. On a quarterly basis, we expect Q1 to be $33 million; Q2, $32 million; Q3, $30 million; and Q4, $28 million. We expect license revenue to be roughly $9 million or 1% of 2023 total revenue. For Q1, we expect $3.5 million of license revenue; $2.5 million in Q2; and $1.5 million in both Q3 and Q4. And for hardware, we anticipate approximately $7 million in revenue per quarter. For consolidated subscription, maintenance and services margin, we are targeting about 54% for the full-year. On a quarterly basis, Q1 will be about 53%, Q2 and Q3 is expected to be 54.5%. And accounting for seasonality, Q4 is expected to be about 53.5%. We expect our effective tax rate to be 21.7% and our diluted share count to be 63 million shares, which assumes no buyback activity. In summary, 2022 was a great year, and we expect 2023 to be another year of balanced growth across revenue, profitability and cash flow. Thank you. And back to Eddie for some closing remarks.
Eddie Capel: Terrific. Thanks, Dennis. Well look, 2022 was a very good year for Manhattan. And while we remain appropriately cautious, as I mentioned on the volatile macro conditions out there, we are entering 2023 with solid business momentum, and we are very excited about the many opportunities that lie ahead. So just to recap, our strategic demand for our solutions is solid and seems to be resilient. Our global teams are executing very well, and we are continuing to invest in our business to deliver leading innovation to help our customers with their digital and supply chain transformation journeys. In closing, again, thank you to all of our employees across the globe for a fantastic 2022 as your dedication and commitment to our growing customer base that continues to be one of Manhattan's key differentiators. And Robert, with that, we are now ready to take any questions that might be out there.
Operator: Thank you. At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from Terry Tillman with Truist Securities. Please proceed with your question.
Terrell Tillman: Yes. Hey, Eddie, Dennis and Mike. Congratulations on the results. I'm going to do my standard annoying preamble, and then I'll kind of get to my questions. First, Eddie, I love kind of the different examples of the customers. That helps a lot in terms of understanding how the business has evolved. So I hope you keep doing that. Dennis, modeling, basically, we don't really have anything to do. You basically told us every line item across all four quarters. So thanks for making that easy. Now finally, to my questions. Maybe the first question for you, Eddie, is just given what you've done with the platform, the cloud products, and just nowadays the business models are a lot different and you have omnichannel, when you bring on a new logo and you've been bringing on more than you had in the past, what does the new logo look like versus three or five years ago in terms of the size and scope of that initial deal or project? And then I had a follow-up for you Dennis.
Eddie Capel: Yes. Great question, Terry. So it tends to be a little bit different. In the old world of license revenue, it was more typical for customers to buy multiple products at the same time. In a subscription-based world, it seems to be more popular, not exclusively this way, but more popular, frankly, to buy one product at a time with follow-on upsell later. And you can kind of see that in the results with 30% of our revenue coming from upsell. And that, I think, is also indicative of the unified platform that we have and the bridge from one solution to the other is frankly not very long.
Terrell Tillman: Okay. And maybe my follow-up for you, Eddie, and then I had a quick for Dennis. You actually did mention in your prepared remarks visibility for solid or strong visibility, I forgot exactly the description there. But what I'm curious about is you do have the installed base, and we're going to see this maintenance start to kind of decline maybe more meaningfully, so that's one driver. And then the cross-selling. How is the visibility changing or improving? Is one much more notable than the other in terms of driving this visibility?
Eddie Capel: You mean customer base versus new logos?
Terrell Tillman: No installed base now starting their journey versus then cross-selling. And like you had just said, they get going and then there's repetition to buy more.
Eddie Capel: Yes, I don't think there's a huge difference in visibility or frankly, confidence of visibility, only because we're pretty close to our customers, Terry. And whether it be an on-premise to cloud conversion, or whether it be an expansion of capability inside the customer base, we're pretty close. We've got long-term relationships with these guys. And generally, they share their road map with us. So no big difference in visibility across the two.
Terrell Tillman: Okay. And then finally for you, Dennis, in terms of the free cash flow margin, maybe you could either answer or give a perspective on how to think about free cash flow margin for the year, or just incremental headwinds on that $56 million plus in cash taxes in 2022 and how that looks in 2023? Thank you.
Dennis Story: Yes. So on the free cash flow, it's going to follow a point or two relative to our operating margin. So I would probably handicap it as two to three points difference between operating margin. And then – I'm sorry, Terry, what was your other?
Terrell Tillman: Well, I'm hogging up this call. I should just stop. But it was related to that and the impact from the cash taxes, like does it take another step up? Or are we starting to kind of – we're going to get past the worst of that?
Dennis Story: We're past the worst of that. So essentially, we're in a mode of about the same amount of taxes on an annual basis now.
Terrell Tillman: Okay. Thank you.
Eddie Capel: Thank you, Terry.
Operator: Our next question is from Joe Vruwink with Baird. Please proceed with your question.
Joseph Vruwink: Great. Hi, everyone.
Eddie Capel: Hi, Joe.
Joseph Vruwink: I wanted to go back to NRF this year. And one thing that really stood at to me was just all the attention on the floor and speaking to folks about order management and also store-related solutions. I would imagine WMS is still going to be the primary driver of bookings for you this year. But do you anticipate a bit of an uptick in interest as it relates to the omni and inventory suites?
Eddie Capel: Well, we certainly hope so, Joe. I don't know that there's going to be a massive step up, frankly. As you know, order management is sort of number 2 on the pecking order of solutions for us. There certainly is a lot of interest. We've clearly continued to make significant investments in that solution, and particularly the integration with the bricks-and-mortar store solutions. So there's no question. There is significant interest there. And we're hoping for continued growth in that and momentum in that particular area.
Joseph Vruwink: Okay. Great. Eddie I think at one point in time, as you were looking at and kind of thinking about migrating the installed base, I know there's not any sort of timetable customers can move as they're ready. But I want to say maybe six, seven years was contemplated. Do you have any views on – if it's less than 10% of the base today, maybe how long until most of your installed base has a cloud solution from Manhattan?
Eddie Capel: Yes. Still feel the same way. Well, okay, there's two suddenly different questions there, Joe. I definitely – when I look at my crystal ball, I think most of our existing customers will migrate from on-premise to the cloud over the next six to seven years. There's always a few laggards and so forth, but the bulk of our customers will transition from on-premise to the cloud over the next six or seven years. The slight – the second part of the question is when will our customer base own something in the cloud from us? Remember, we are now a cloud-first company. So as we cross-sell and upsell into our customer base, it is quite likely that an on-prem – just hypothetically, an on-premise customer for WMS might well buy a cloud TMS solution, a cloud point-of-sale solution or a cloud OMS solution. So that would mean that, that time horizon would be shorter than six or seven years.
Joseph Vruwink: Okay. That makes sense. And then I have one quick one if I can squeeze it in. Just any thoughts on just RPO quarter-by-quarter, if you'd expect seasonality or, I guess, if the macros have been tougher, customers might view budgets more on a quarterly basis? Just any way to think about kind of the cadence of RPO bookings throughout 2023?
Eddie Capel: Look, we suspect – we've always said RPO bookings likely will suffer from a little bit of lumpiness just like license revenue did back in the day. We haven't seen a ton of seasonality when it comes to RPO bookings. I said it before, but frankly, these are big strategic purchases and so forth. And frankly, our customers need to – they want to get going whenever they want to get going. And so there isn't generally a particular slowdown in any particular quarter, again, very strategic decisions.
Joseph Vruwink: Great. Thank you very much.
Eddie Capel: Thank you, Joe.
Operator: Our next question is from Brian Peterson with Raymond James. Please proceed with your question.
Unidentified Analyst: Hi. Thanks for taking the question. This is John on for Brian. I wanted to first touch on cross-sell. Eddie, you referenced really good cross-sell numbers here in 2022. I think you said 30%. But I'm curious if you're seeing a change in cadence with customers coming back for additional products? Maybe any geographies you'd call out where you're seeing faster cross-sell? Any color there would be great.
Eddie Capel: Yes. Not particularly, John, to be perfectly honest. The cross-sell across geography is: A, pretty consistent or has been pretty consistent kind of year-over-year and is pretty consistent across that 30% in 2022, number one. And more recently, we've seen a little bit of an uptick in cross-sell, meaning 2022 over the prior years. I think, again, part of that is as we move and have moved into a cloud-first environment, we've seen customers bite off smaller pieces of the product portfolio upfront and then – but move more quickly into a larger portfolio.
Unidentified Analyst: Okay. That's great color there. Thank you very much. And then also, I want to touch on the TMS product. I see you recall in the past, you called out strength outside of the U.S. I'm curious how the pipes' progressing though within the U.S. And maybe you can give us insight into how the customer conversations are going there? Thank you.
Eddie Capel: Yes, pretty good. I mean, look, honestly, the only reason – the reason that we called out TMS growth outside of the Americas, is historically, that has not been the strongest market for us by design. We tended not to offer TMS outside of the Americas in a very strong way. That's picked up over the last few years. So we were certainly highlighting some of the successes particularly in Europe, particularly in Latin America, particularly in Australia and New Zealand. But the product is doing very well. frankly, and we've talked a little bit about this before, the unification of Manhattan Active WM with Manhattan Active TM is really jump-starting some pretty interesting conversations about, I guess, about half of our more recent Manhattan Active transportation customers or Manhattan Active WM customers. So really starting to benefit from that unification. And we see that as something that will continue on into the future.
Unidentified Analyst: Well, thank you very much and congrats on a great quarter.
Eddie Capel: Thank you, John. Appreciate it.
Operator: Our next question is from Matt Pfau with William Blair. Please proceed with your question.
Matthew Pfau: Great. Thanks for taking my questions, guys and great quarter. I wanted to ask in terms of the new customers you're signing, it seemed like this year was a particularly strong year for net new customers that you brought on to Manhattan. Is there any particular product that you're landing the majority of those with? And where are those customers coming from, typically? Thanks.
Eddie Capel: Yes. Well, the great news there, Matt, is not particularly. It's across the product portfolio. So that's encouraging, number one. And number two, it is across the sub-verticals. So I listed at some of the principal sub-vertical and the product portfolio, and it's a pretty nice spread there across new customers versus existing. Now as you – if you drill in a little bit further on the distribution side of the house, you certainly see verticals that we've maybe not been quite as strong in over the years, kind of bubbling to the surface, particularly CPG, industrial manufacturing and so forth, as they need to reenergize and modernize their supply chains and particularly with a focus on, kind of, direct-to-consumer or direct to consumer ready. Similar things are happening in the OMS space as well. As you see companies that traditionally were not selling direct-to-consumer now either selling direct to consumer or at least being direct-to-consumer ready as they ship into retail channels. So those would be a couple of spots where we've seen some nice growth, which really speaks to not just total addressable market growth, but certainly, verticals that we've not typically been as strong in, which is very nice.
Matthew Pfau: Great. And then just to follow up on the margin – operating margin guidance and commentary. Dennis, so it seems like ex the impact of the cloud transition, which is accelerating in 2023, you would actually show year-over-year margin improvement in 2023. Is that correct? And then, what else should we think about, from an expense perspective in terms of wage inflation and then other investment areas that you're making, particularly with the hundreds of people that you plan to add next year or this year? Thanks.
Dennis Story: Yes, definitely. Look, we guided across all key metrics above this year's – the 2022 performance. From that perspective, we would expect operating margin to increase through the year, et cetera. And – having a little brain cramp here.
Eddie Capel: In terms of where the people generally – where the investments in people will be, for the most part, Matt, those will be customer-facing folks, so largely in our professional services organization and in our customer organization. Now we do plan to and are actively investing more in research and development this year. So you'll see some heads move into there. Sales and marketing is also another area that will continue to add heads as we've talked about before. It's important for us to keep driving awareness the solutions for which we are not quite as well known. That's important to us because we think we've got a great opportunity there. And as always, we'll be selective about adding team members to our sales organization. We've got a very effective and a very efficient sales organization. But as our customer base grows, [indiscernible] coverage and overall coverage is important to us. So again, back to summarize on those people, principally customer-facing, but sales and marketing and R&D as well.
Matthew Pfau: Got it. Thanks for taking my questions. Appreciate it.
Eddie Capel: Okay. Thank you, Matt. See you.
Operator: Our next question is from Mark Schappel with Loop Capital Markets. Please proceed with your question.
Mark Schappel: Hi, thank you for taking my questions and nice job on the quarter.
Eddie Capel: Thank you, Mark.
Mark Schappel: You are welcome. Eddie, with respect to the macro environment, there was a little – very little way in commentary in your prepared remarks on that front. Obviously, based on the strong results and guide, it appears you're encountering very few headwinds. But I was wondering if you could just provide some additional commentary on what you're seeing from a macro perspective?
Eddie Capel: Look, there's definitely chop out there. There's no question about that, Mark. Each of us wake up every morning can see, feel and see the chop. But I mean, when we look at the demand for our solutions, when we look at our pipeline, we believe driven by the investments in innovation that we're making, the critical nature of our solutions to both the resilience and the growth of our target markets, we obviously feel pretty good about where we are. We've got pretty good visibility. And so that is how it feels to us, that forward motion feels pretty good. But it is not without its headwinds, for sure. Not without its headwinds.
Mark Schappel: Okay. Great. And then just shifting gears to your point-of-sale solution. I think it was last year's user conference, you expressed that achieving like 10 to 12 go-lives would be a pretty significant milestone – you felt it would be a pretty significant milestone for the company just because it would make it very easy for the next sale. Just wondering if you can give us a little bit of an update on where you stand on that front?
Eddie Capel: Yes, yes. So we're making good progress. Honestly, you caught me a little colder, I should know all those numbers specifically. We're not quite at that number. But we're less than a handful of way from our initial target. I mean we're not – listen, obviously, the finish line is not 10 or 12 installations, but we've got – the first lap for us is sort of getting there. We're making good progress. We've got a couple of go-lives, I think, coming up here in Q1, early 2Q. And by – certainly by the fall of this year, we will have round it out and met that first milestone. From an overall momentum of point-of-sale and store solutions, again, feels pretty good. We came off of a very enthusiastic National Retail Federation Conference where all the retailers are. We had a pretty big presence from a point-of-sale perspective. Actually, we were fortunate enough to have two components. We had our own booth. We were also the only third-party vendor in the Google Cloud booth as well demonstrating point-of-sale, and we saw a lot of interest coming out of that.
Mark Schappel: Okay. Great. And then on the point-of-sale, again, I think fiscalization was an important new capability that you are building into the product mainly to go after the international customers. Maybe just provide us a little bit of an update there?
Eddie Capel: Yes, sure. Well, actually, so you're spot on. In addition to international customers, oftentimes when you sell point-of-sale even to kind of what is a domestically headquartered company, they have operations overseas. They want a single solution. So fiscalization is important for them as well. And we're knocking them down, frankly. We're knocking down the countries. There is a process there. There's a technical integration. There's a design process, a technical integration process. And then there's a certification process with each and every government agency in those individual countries. And to be honest with you, you can only go at a certain pace because you're dealing with those legislative bodies. But we're making good progress. The principal focus of wave 1 has been on Europe for us. But we're moving to both APAC and to Latin America, just as fast as we can and knocking them off, fortunately as fast as our customers need them.
Mark Schappel: Great. Thank you. That’s all for me.
Eddie Capel: Thank you, Mark.
Operator: Our final question is from Blair Abernethy with Rosenblatt Securities. Please proceed with your question.
Blair Abernethy: Thanks for taking the question. Nice quarter, guys. Just following on the point-of-sale product lines, I guess I'm just curious if maybe you give us a little more color on the competitive landscape as you're bidding for these new projects. And what are you typically displacing – or what are you seeing in place that you're able to push aside with your solution?
Eddie Capel: Well, not pushed aside. But yes I mean – look, there's a lot of legacy, if you want to call it that, competition out there because this is obviously a point-of-sale in general, is not a new space. There have been solutions available for literally 100 years out there. But our real competitive differentiation is with an omnichannel solution, right. We're not just providing a cash and carry, cash-register-centric solution. Obviously, we've seen over the years, the point-of-sale industry kind of move from being a hardware-centric industry to now a software-based solution with pretty commoditized hardware, whether it be tablet or desktop PCs. So the disposition or the transition is around both hardware and software. And again, in any solution where there is a level of personalization and consumer touch involved, that's where we are really able to shine.
Blair Abernethy: Okay. Great. And in terms of the macro environment, just – is the retail – I'm just wondering of your key verticals, is there anyone you would call out to say, hey, this is a little bit squishier than some of the others?
Eddie Capel: No, I don't think so, Blair. Again, we're all reading, frankly, the same articles and watching the same news feeds. There's a little bit of squishiness everywhere. But as a function of that, in order to compete, then you've got to be close to the customer, you got to be able to provide – or our customers have to provide excellent service, maximum utilization of the biggest piece of working capital they have, which is the inventory on hand. And bringing those two things together, customer demand and available inventory. So it's – we're as you know, providing mission-critical systems to our customers. And yes, the – frankly, there's winners and losers across the customer base. But the fortunate thing is we're much more diverse today, frankly, than we were maybe 10 or 12 years ago, and that's helpful to us.
Blair Abernethy: Yes. That's great. Thanks for the extra color.
Eddie Capel: Thank you.
Operator: We have reached the end of the question-and-answer session. I'd now like to turn the call over to Eddie Capel for closing comments.
Eddie Capel: Very good. Thank you, Robert. Well, again, as always, we appreciate you taking the time to join us this afternoon, particularly since it's our year-end earnings call. We're very pleased with the 2022 results. We appreciate your support throughout the year, and we're excited about as the path ahead. So we look forward to talking to everybody in about 90 days or so. Thanks a lot.
Operator: This concludes today's conference. You may disconnect your lines at this time, and we thank you for your participation.